Operator: Hello and welcome everyone, to today's Commercial Metals Company Fourth Quarter and Full Year 2011 Earnings Call. As always, today's call is being recorded. [Operator Instructions] I would like to remind all participants that during the course of this conference call, the company will make statements that provide information other than historical information and will include projections concerning the company's future prospects, revenues, expenses or profits. These statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and may involve speculation and are subject to risks and uncertainties that could cause actual results to differ materially from these projections. These statements reflect the company's beliefs based on current conditions but are subject to certain risks and uncertainties that are detailed in the company's press release and public filings. When possible and as necessary during this call, we will identify these forward-looking statements, which are based on management's current expectations and other information that may be currently available. Some numbers presented will be non-GAAP financial measures and reconciliations can be found on the company's press release. Although CMC believes these statements are made based on management's expectations and assumptions, CMC offers no assurance that events or facts will happen as described here or are wholly accurate without exception. More information about risks and uncertainties relating to any forward-looking statements can be found in CMC's latest 10-Q and 10-K, available on both the company's and the SEC's website, and all statements are valid only as of this date. CMC does not assume any obligation to update them as a description of future events, new information or otherwise. And now for opening remarks and introductions, I will turn the call over to the President and CEO of Commercial Metals Company, Mr. Joe Alvarado.
Joseph Alvarado: Thank you, Amy. Good morning. We appreciate you joining us to discuss CMC's fourth quarter and full year 2011 results. I will begin with some high-level comments on the fourth quarter and full year, and then I will ask Barbara to provide financial details on the quarter and year. I will then wrap up with some comments on our outlook for the first fiscal quarter 2012, followed by a question-and-answer session. Before reviewing the results, I'll take a moment to discuss safety. Sadly, on September 6, 2011, there was an industrial accident in our Magnolia, Arkansas plant, resulting in the death of our colleague, Gene Drake. Gene was a millwright in our maintenance organization. I share this with you because of the human impact of this event and to highlight the pain and suffering associated with any industrial accident, especially a fatality. It's a reminder of the many risks in our operations around the world. Our goal is that every CMC employee return home safely at the end of the work day and it's also our goal to never repeat this experience again. On behalf of everyone at Commercial Metals Company, I extend my deepest condolences to the family of Gene Drake. Turning to our results for the quarter and year end, as noted in our press release this morning, we reported net sales of $2.3 billion for fiscal 2011 fourth quarter, an increase of 25% from fourth quarter 2010 sales of $1.8 billion. Including pretax restructuring charges of approximately $144 million related to the company's decision to exit the Sisak mill in Croatia and other restructuring actions, we reported a net loss of $120.3 million or $1.04 per share in the fiscal fourth quarter ended August 31, 2011. Excluding restructuring charges, we achieved another quarter with adjusted profit before tax for the quarter. Adjusted pre-tax for the quarter was $31.3 million. A loss before tax of $112.3 million including restructuring charges compared with an adjusted profit before tax of $11.5 million in last year's fourth quarter. In the long term, the restructuring actions will positively impact operational results by approximately $33 million per year on a pretax annualized run rate basis. In the near term, however, projected savings will be offset by the cost of winding down operations over the next 2 quarters, particularly in Croatia. As expected, we experienced some seasonal effects in certain regions of the world during the fourth quarter. However, this did not impact our ability to achieve an adjusted operating profit. Our positive results from operations were driven in part by relatively stable prices and demand, combined with continuous focus on improving our product mix, cost efficiency and service to our customers. For the full fiscal year, net sales increased 26% to $7.9 billion from $6.3 billion in fiscal 2010, driven by improved pricing and slightly higher demand. We reported a net loss of $129.6 million or $1.13 per diluted share for the year. Excluding the previously mentioned restructuring charges, adjusted profit before tax was $30.5 million for the full fiscal year 2011, a loss before tax of $113.1 million including restructuring charges. During the year, we generated $237.3 million of adjusted EBITDA as compared to $14.9 million for the full year 2010. The $222 million increase in adjusted EBITDA reflects a dramatic turnaround in operating performance due to changes in the organizational structure to improve operational focus, difficult but necessary restructuring actions and improvement in overall product mix and some market recovery. During fiscal 2011, 3 of our operating segments showed significant improvement in their financial results, with adjusted operating profit of $43.1 million for CMC Recycling, $161.7 million for the Americas Mills and $76.3 million for International Marketing and Distribution. Performance in the U.S. benefited from stable pricing and demand, combined with improvements in operational efficiencies. The average U.S. rolling mill utilization rate was 79% in the fourth quarter as compared to 73% in the prior quarter. Within the International Mills segment, CMCZ, our Polish operation, also recorded a substantial year-over-year improvement, with adjusted operating profit of $47.6 million for 2011. The turnaround in our Polish operation is a direct result of improved market conditions, capital investments made to expand its product offering to capture the market for higher margin, value added merchant and wire rod products. Regarding the remainder of our International Mills segment, as discussed, we made the decision to exit Croatia to focus on our core business. We are confident this is the best course forward. Finally, in our Americas Fabrication segment, we continue to face a difficult and competitive market outlook, which led to the additional restructuring actions we announced in October. We're confident these actions will position the business for improved profitability and shareholder return on a go-forward basis. In addition to actions to adjust our capacity to match current market demand in our Americas Fabricating segment, we are seeing some signs of improvement. Average fabricated selling prices for the quarter were up 11% to $866 per ton. For the full year, Fabricated selling prices increased $49 per ton to $817 per ton. Fabricating backlogs remained level. However, backlog pricing continues to improve. End markets showing the best demand continue to be public works, energy, healthcare and institutional building. Even though backlogs have improved, customer uncertainty on credit, lower state and federal funding, unemployment and excess manufacturing capacity continue to constrain a more meaningful increase in demand. While the end markets of fabricated steel remained weak, we continue to book new business at higher prices which will eventually fall to the bottom line. Equally important, higher prices are allowing us to process through our lower-priced backlog. With that overview, I would like to summarize with a few key points. Operationally, fiscal 2011 marked the beginning of a turnaround for CMC, amidst what remains a challenging environment for the entire metals industry. With this backdrop, we've taken a number of important steps and made progress on key fronts to ultimately improve performance and position CMC for future success. In challenging economic times, CMC has unique advantages compared with its peers. We're a global company with worldwide market intelligence, which enhances our commercial knowledge and allows us to better serve our customers. The positive results produced by our Marketing and Distribution segment showed the importance of our international presence in a time when market growth rates are stronger outside the United States. We have offices in key markets across the world, including several in China and Southeast Asia. Though construction markets in the U.S. are suffering and Australia has slowed, markets served by Poland and in Southeast Asia continue to grow. We recognize that we are in a highly cyclical business with many factors impacting our results. The effects of ongoing weakened demand in certain markets, volatile pricing and global liquidity and credit constraints all contribute to the reality of the current business environment. A continuing low level of construction spending in the U.S. remains a headwind for CMC and for our peers. Though challenges remain, we believe we are taking the right steps that will allow us to strengthen our competitive position, serve our customers in a more effective manner and improve shareholder return going forward. With that, I will turn the discussion over to Barbara Smith, Senior Vice President and Chief Financial Officer. Barbara?
Barbara R. Smith: Thank you, Joe, and good morning, everyone. As Joe mentioned earlier, for the fourth quarter 2011, which ended on August 31, we reported a loss of $120.3 million or $1.04 per share. Included in the results for the quarter were pretax restructuring charges including impairments of approximately $144 million related to the company's decision to exit its Sisak mill in Croatia and to close 5 rebar fabricating locations, including 4 domestic and 1 international location, as well as 8 construction services locations. Excluding these restructuring charges, the adjusted operating profit before tax for the fourth quarter of 2011 was $31.3 million, a loss before tax of $112.3 million including restructuring charges compared with a profit before tax of $11.5 million for last year's fourth quarter. This year's fourth quarter results included an after-tax LIFO expense of $6.3 million or $0.05 per diluted share compared with an income of $23.4 million or $0.20 per diluted share during last year's fourth quarter. Net loss for the year ended August 31, 2011, was $129.6 million or $1.13 per diluted share on net sales of $7.9 billion as compared to the full year 2010 when the company had a net loss of $205.3 million or $1.81 per diluted share on net sales of $6.3 billion. Excluding the aforementioned restructuring charges, adjusted profit before tax was $30.5 million for 2011, a loss before tax of $113.1 million including restructuring charges. For the year ended August 31, 2011, after-tax LIFO expense was $50 million or $0.44 per diluted share compared with LIFO income of $7.4 million or $0.07 per diluted share for the same period last year. I'd like to pause and point out that we have provided several non-GAAP reconciliations of adjusted operating profit, adjusted EBITDA and adjusted earnings per share in the press release filed this morning to assist you in understanding the underlying business performance for the quarter before the impact of restructuring charges. Moving on, collectively, for our U.S. steel mills generated an adjusted operating profit of $45.6 million for the quarter compared to $42.8 million during the same period last year. Net sales of $526 million were up 45% from last year's fourth quarter sales of $363 million. We recorded a pretax LIFO expense of $5.1 million compared to an income of $11.9 million for the fourth quarter of 2010. Metal margins were stable at $314 per ton during the fourth quarter of 2011, but slightly higher than the fourth quarter 2010, where metal margins were $310 per ton. For the year, net sales of $1.8 billion were up 39% from the $1.3 billion for the full year 2010. Adjusted operating profit for the full year of $149.2 million was $115.5 million higher than a year ago. Our copper tube mill was breakeven, with pretax LIFO expense of $700,000 in the fourth quarter. This compares with the $2.2 million in adjusted operating loss with a pretax LIFO income of $1.8 million that was reported in the fourth quarter of 2010. Drop in copper prices late in the fourth quarter had a negative impact on results for the quarter when comparing to the third quarter of this year. For the year, the copper tube mill reported adjusted operating profit of $12.5 million, including pretax LIFO expense of $5.6 million. Our Recycling business also experienced a solid quarter. Average ferrous scrap sold for $361 per short ton during the fourth quarter, which represented a 34% increase over the $269 per ton recorded in the fourth quarter of 2010. Average sales pricing on nonferrous scrap was $3,398 per short ton, which was up 29% quarter-over-quarter. We shipped a total of 641,000 tons of ferrous scrap, which was up 31% over the last year's fourth quarter, and we shipped 73,000 tons nonferrous scrap, which is up 12% increase over last year. Our Americas Recycling segment delivered a $10.8 million adjusted operating profit in the quarter, after a pretax LIFO expense of $1.2 million. This compares to the fourth quarter 2010 adjusted operating profit of $5.2 million. The Americas Recycling segment also showed a dramatic increase in adjusted operating profit of $31.6 million to $43.1 million for the full year when compared to $11.4 million from the prior year 2010. Ferrous and nonferrous tons shipped were 16% -- were up 16% and 12%, respectively from their comparable period in 2010. Stronger demands supported higher prices for ferrous and nonferrous scrap as prices increased 29% and 25% respectively when compared to a year ago. Our Americas Fabrication segment recorded an adjusted operating loss of $42.8 million for the quarter. Included in the loss was $21.7 million of impairment charges, severance and closure costs. A pretax LIFO expense of $1.7 million was also included in the fourth quarter result as compared to our LIFO income of $6.6 million for the comparable quarter a year ago. The average selling price for Americas Fabrication increased $88 per ton over last year's fourth quarter, average selling price of $778 per ton, including stock and buyout sales as well as the discontinuation of our Joist & Deck business. For our CMCZ operations in Poland, benefited from strong Polish economy throughout 2011. Sales in neighboring countries such as Germany and the Czech Republic also remained steady. CMCZ reported an adjusted operating income of $14.6 million for the quarter compared to an adjusted operating profit of $17.2 million for the same period last year. For the full year fiscal 2011, CMC Poland reported an adjusted operating profit of $47.6 million compared to an adjusted operating loss of $31.6 million for fiscal year 2010. Increased sales of higher-margin merchant bar product from our new flexible rolling mill which was hot commissioned during the third quarter 2010 also contributed to the significant turnaround in adjusted operating profit. CMCZ shipped 399,000 tons in the fourth quarter 2011, of which 37,000 tons were billets as compared to 387,000 tons shipped in the fourth quarter of 2010, of which 66,000 tons were billets. The unit melted 434,000 tons as compared to 382,000 tons for the same period in 2010, and they rolled 386,000 tons during the fourth quarter compared to 310,000 tons during the fourth quarter of 2010. The strength of the local economy benefited us yielding an average selling price,PLN 1,906 per ton compared to PLN 1,584 per ton for the same period last year, an increase of 20%. CMC's International Marketing and Distribution segment has remained profitable during the last 9 quarters, and delivered an adjusted operating profit of $22.7 million for the fourth quarter of 2011 compared to $12.5 million during the fourth quarter 2010. The Domestic Steel Import business continued it's turnaround with another profitable quarter. It's operation is operating on a LIFO basis , resulting in a pretax LIFO expense of $900,000 compared to a pretax LIFO income of $6.6 million during the fourth quarter of 2010, which is included in the overall segment result. For the full year of 2011, this segment generated $76.3 million adjusted operating profit on 8% higher sales. Capital expenditures were $22 million for the fourth quarter and $73 million for the full year. Although we have been limiting CapEx to conserve cash, we did continue to invest in key areas, approving 2 new shredders for CMC Recycling, which will go into operation in 2012 in order to increase capacity and capture market demand. Overall, our balance sheet remained strong. Cash and short-term investments totaled $222 million as of August 31, 2011. Our $400 million revolver remains undrawn and we continue to maintain significant unused, uncommitted credit lines to give us significant flexibility to adapt to a changing market. We met the coverage test on each of our unused revolver and public debt. On May 20, 2011, we entered into an interest rate swap, which modifies $300 million of our 6.5% notes due in 2017 from fixed to floating interest. Floating rate will be a 6-month LIBOR in arrears plus 374 basis points. Thank you very much. Now I'll turn it back to Joe for the outlook.
Joseph Alvarado: Thank you, Barbara. With respect to our 2012 outlook, we currently anticipate that business activity will most likely mirror the economic activity we saw in 2011. However, we've demonstrated that we can be profitable even at the current business levels despite a lack of the construction work that has traditionally buoyed our business. We believe that the United States in particular would benefit from more infrastructure spending. It would have a significant impact on economic growth and contribute to reducing unemployment in a period of general economic slowdown. We therefore are supportive of programs that are aimed at investment to expand and renew infrastructure across the United States. As a reminder, the end of the -- the end of our first quarter of 2012 is generally a seasonally slower period as weather begins to affect construction activity in North America as well as Poland and Northern Europe. In the near term, the cost of winding down Croatia will most likely offset positive results from operations on a pretax basis. However, as I noted earlier, projected savings from all the actions taken in the fourth quarter will positively impact performance and operational results over the medium to longer term. One final note before we turn to Q&A. As many of you know, Carl Icahn and his affiliated entities which own approximately 9.98% of the company's shares, announced the intention to nominate 3 candidates for election to CMC's Board and make certain other proposals at the company's Annual Meeting. As we have stated, our board's Nominating and Corporate Governance committee will seriously review Mr. Icahn's nominations, and the board will make a recommendation that it believes is in the best interest of all CMC shareholders. We have spoken to Mr. Icahn and his representative as we do with will all of our major shareholders. However, we believe it would be inappropriate to discuss specific conversations with individual shareholders, and therefore, we will not be commenting further on this matter. At this point, we will now open the call up to questions.
Operator: [Operator Instructions] Your first question comes from Kuni Chen at CRT Capital Group.
Kuni M. Chen - CRT Capital Group LLC, Research Division: I guess, just first up on Fabrication, do you feel that it's properly sized at this point given your market outlook for the next 1 to 3 years? Are there any larger actions that you may consider for this business, or is it -- was it really just something that you kind of chip away at here and there if the market doesn't recover anytime soon?
Joseph Alvarado: Kuni, we've been making adjustments all along to the fab side of the business and this most recent action was taken with units that we believed couldn't turn fast enough given the state of the economy and it might have been facilities, for example, that were a drain on profitability. But I don't see any dramatic changes or a need to change our fabricating segment in terms of further reduction. We also don't believe that we'll be negatively impacted by some of these closures in the sense that it will help our operating performance. But many of these markets can be easily served from existing fab facilities where we have excess capacity. So we aren't anticipating any dramatic changes or any significant changes in our fab segment at this time. As long as the market stays at the current level, we've been a steady state operation, it's not a boom market, but it hasn't declined either in the last year.
Kuni M. Chen - CRT Capital Group LLC, Research Division: Okay. And then just as a quick follow-up, Barbara. Can you talk about the CapEx plans for the year ahead, maybe talk about some of the big pieces in there?
Barbara R. Smith: Yes. For modeling purposes, I would model in something in the $100 million to $140 million range. We are going to be increasing our CapEx a bit in the coming year. I mentioned the shredders that we are -- we have announced internally. And so those investments will be concluding in 2012. But this is obvious in the area that will take a hard look at what's going on in the market and adjust appropriately.
Operator: The next question comes from Luke Folta at Jefferies.
Luke Folta - Jefferies & Company, Inc., Research Division: The first question I had, Joe, you mentioned something about some cost savings related to the restructuring. I thought I heard you say something about $33 million in your opening remarks, and I missed what the specifics of that were. Would you mind going through that again?
Joseph Alvarado: Yes, the $33 million is an annualized run rate of the cost savings that will be generated as a result of the closures and shut down. We didn't provide any of the detail...
Barbara R. Smith: We thought it would be helpful to give you some view of the annualized value of that once we conclude all of those actions. And I should say in the first quarter, we will still have some ongoing expense associated, in particular, with exiting Croatia. The big amount being severance charges that we will have to incur in the first quarter. So by the second half of the year, you should start to begin to see that annualized run rate savings.
Luke Folta - Jefferies & Company, Inc., Research Division: Do you think that, that might be a conservative estimate? Just because if I look at what Croatia had lost just year-to-date through the first 3 quarters of '11, it's about $32 million in change right there and that would exclude any like fabrication benefits.
Barbara R. Smith: We're relentless in looking for other opportunities to improve performance. We are expecting some inflationary pressures in the coming year. So we will have to give back some of the savings to those inflationary pressures.
Operator: The next question comes from Arun Viswanathan at Susquehanna.
Arun S. Viswanathan - Susquehanna Financial Group, LLLP, Research Division: Just curious what you guys are seeing across the scrap market. It seems like some of the other raw materials that are used in the Steelmaking business have been falling sharply, but scrap seems to be holding up in domestic areas. Can you comment on what you're seeing in scrap? Ferrous scrap?
Joseph Alvarado: Yes, Arun, scrap prices have been pretty steady, throughout over the last 9 months there hasn't been much change, there is a little bit downward dip last month. And we are expecting a further erosion in scrap prices of this month. Their estimates on the street of $20 to $40 a ton, that doesn't seem unreasonable, particularly in light of what has happened in other raw materials market, including -- and especially iron ore. So we'll see the effect of that, and we'll also be impacted by iron ore, we trade iron ore. So from time to time as we engage in sales and shipments, we can be impacted by even iron ore prices, though not in our manufacturing nor in the trading side.
Arun S. Viswanathan - Susquehanna Financial Group, LLLP, Research Division: Okay. And also, maybe you could just also comment on your markets. In your prepared comments, you noted some strength in public infrastructure and institutional and so on. What's your outlook I guess, on construction for the next year? I mean, do you see any scenario where things are getting better? Is it somewhat different from region to region? Or...
Joseph Alvarado: Yes. Look, the best -- Arun, the best that I can answer that is when the markets took a downturn in August with the failure of action taken in Washington, it seemed that there is a lot of concern that things might fall off, and we didn't see a falloff, and I've described it by saying that it appears that all of us have seemed to learn to operate without the leadership that we might expect from the Federal Government and without good policy moving forward. So we've seen steady levels of construction, both from a commercial as -- from commercial as well as from infrastructure spending. So we don't expect it to pick up and don't anticipate any deterioration. Our order book remained strong, relatively speaking, compared to prior quarters, our backlog is fairly even, we're seeing good shipments and we expect seasonal adjustment. I guess, this is more the new norm until there is some stimulus from either commercial activity or stimulus from government activity. And that, obviously, begs the question of funding, which we'll never get into. Yes, at the same time, we still see strength in our Polish operations. That's a little bit different, and expect that to continue to grow. Growth rates of about 4% are still anticipated in Poland, and growth in Southeast Asia, were -- which is driven by China at 9.5%, continues to buoy our business there. So that's one of the nice offsets about what's going on in the states that we do have some offset in the foreign markets.
Operator: The next question comes from Sal Tharani at Goldman Sachs.
Sal Tharani - Goldman Sachs Group Inc., Research Division: A couple of questions. But we're allowed only 2. So let's start with the trading business. We have seen quite a bit of decline in our prices of most of the -- many of the products you trade around the world in September and October. Have -- are your trades mostly back to back or are there new risks that you may be seeing some margin squeeze in that business?
Joseph Alvarado: Most of our trading is back to back but not all of it. And yes, we've seen margin squeeze, a precipitous decline in iron ore pricing in particular, is of concern because we are in the ore markets. And the overall decline has been pretty dramatic, pretty steep in a very short period of time. So we will get some exposure to that as a result of trading that product even on a back to back basis, there are formulaic pricing that sometimes get in the way. Other raw materials -- ebb and flow. Copper as an example in our nonferrous, which there've been some significant changes in copper pricing on a global basis, partly owing to demand from China, partly owning to demand in North America. About 40% of our nonferrous ends up being exported south. So we're subjected some of the global pricing pressures when there's steep declines. But in general, we try to trade on a back to back basis.
Sal Tharani - Goldman Sachs Group Inc., Research Division: Okay. And second question, while you are restructuring the company, any thoughts about the copper tube mill? Is that an important part of -- or core part of your business? Or is this something you can also dispose at some point?
Joseph Alvarado: Today, the copper tube business for us has been really good, and we had a really good year this year. It's a profit generator. We do have wild swings when copper prices go well, depending on what our inventory valuation might be and size of inventory. So managing inventory is as important as managing the acquisition price. But for the time being and look forward, copper business is an important part of our business. It complements, in some regards, our nonferrous scrap trading, and that we have some knowledge of markets, we use that knowledge to position ourselves for taking advantage of being able to manufacture copper tubing products.
Operator: The next question comes from Evan Kurtz at Morgan Stanley.
Evan L. Kurtz - Morgan Stanley, Research Division: I just wanted to ask you about Croatia and the process of where you stand in the exiting, whether you're leaning more towards sale or closure at this point and what sort of cash impact that would have?
Joseph Alvarado: We have an active process. We're engaged with the banker that's assisting us in marketing the assets. And we're pleased with the interest that's been shown so far. So we're -- we'd like, as much as possible, for as many of those people to stay employed as can be employed in Croatia. We know it's important to the Croatian government of the people that have worked for us so hard for the last several years. But in the end, if we can't find buyers, we're committed to continuing with our decision to exit the business. But so far, I'm encouraged, I'm encouraged that there's good interest and we'll see how it develops. So if you have any suggestions, we'll take them. And then with cash I'll let Barbara answer that.
Barbara R. Smith: Yes, on the cash side of Croatia, there will be the expense of the severance, which will be somewhere in the neighborhood of $17 million and a few other items, but most of the charges are noncash and we would expect, overall, to unwind it would be a cash positive event as we unwind the inventory and the receivables. There's also another dimension to it now that we've made the decision to exit. There's a fairly significant tax benefit that we will be able to capture in the first quarter, where we'll be able to take advantage of the losses in the investment that we've made in Croatia. And so that tax benefit is in the neighborhood of $80 million in the first quarter.
Evan L. Kurtz - Morgan Stanley, Research Division: And that's a cash $80 million benefit?
Barbara R. Smith: In the P&L.
Evan L. Kurtz - Morgan Stanley, Research Division: Okay. And then just for my second question, you mentioned $21.7 million in restructuring charges in Americas fab and then $110.6 million in the European business. So there's about $12 million missing or so for the $144 million total. What segment is that ascribed to?
Barbara R. Smith: It's spread around, there's a little bit in Recycling, a couple of hundred thousand, $800,000 in the Americas Mills. We exited 1 fab in Europe at Baustahl, that was another $1.3 million. We took some workforce reduction on Australia, which was about $800,000. Then we -- in our release on October 7, we talked about some overhead reductions to the corporate structure. So there's another a little over $7 million there. And a little bit associated with writing down some leases to the Deck & Joist -- further write-down of leases in Deck & Joist as we've been trying to unwind that.
Operator: The next question comes from Timna Tanners at Merrill Lynch.
Timna Tanners - BofA Merrill Lynch, Research Division: I want to ask I guess 2, so -- kind of as a follow-up. You mentioned that eventually the higher-priced backlog on the fabrication division will fall to the bottom line. Can you provide a little more color about what kind of timeframe you might be looking at for that?
Barbara R. Smith: It, obviously, will upon where prices go from here. But prices have been fairly stable for the last couple of quarters. So on that assumption, in the Central region, we would expect to get to breakeven possibly in the second quarter. And in the West by the fourth quarter of 2012.
Timna Tanners - BofA Merrill Lynch, Research Division: And are they half and half or, I mean, how do we think about the overall?
Joseph Alvarado: The West is a smaller part of our business, Timna. We're a Texas-based company and where we've grown our fabrication most has been in the Central market. It's also where we have most of our fixed price contracts because of highway work, so there are mitigating factors. But overall, our fab business is significantly greater in the Central and Eastern regions than it is in the West. But the West is by far in a way the most depressed market that we're dealing with, and that -- hence, that's the reason why recovery will take longer there.
Operator: The next question comes from Brent Thielman at D.A. Davidson.
Brent Thielman - D.A. Davidson & Co., Research Division: Yes. I guess just -- you had a nice uptick in volumes in your domestic mills in the quarter, I'm just trying to get a feel for kind of are you expecting that kind of level of volume as you enter Q1 or should we see some seasonal impact?
Joseph Alvarado: Yes, so far our shipment activity level in Poland as well as in North America from the mills has been pretty strong. Our Recycling segment, consistent and without any interruption, we expect it's going to tail off. It always does as we start getting into winter months, plus a shortened month of November, which is the last month of the quarter. But so far, our order book has remained strong. Our backlogs have sustained themselves and shipments have been strong. Now as prices start fluctuating, assuming that scrap prices do go down, we'll see some customers electing to take positions or not take positions and take delivery. And in particular, as we get closer to year end, distributors will have a tendency to want to reduce their inventories. Sowe expect that same downward direction in the second quarter in particular, but through the first 2 months of this quarter, our shipments have remained strong. We also have an outage in our Polish operation in November, which will affect our overall field production output. It's appropriately timed, so that's not a negative, it helps us to continue our maintenance work throughout the course of the slower winter months.
Brent Thielman - D.A. Davidson & Co., Research Division: Okay. And then I guess, just a clarification, the $25 million to $40 million in closure costs that you're anticipating for Q '12, should that all be weighted into the first quarter or is that going to be spread out a bit?
Barbara R. Smith: It'll be primarily first a little will trickle over into second. But say, 80% of it will fall to the first quarter.
Operator: The next question comes from Tim Hayes at Davenport & Company.
Timothy P. Hayes - Davenport & Company, LLC, Research Division: Actually my question on the -- was just asked. One other question on the Trading business about the back to back contracts. Would that still be -- you'd still be on the hook for -- around the hook or I guess long the commodities -- when its on the boat and during the transportation even though it may be back to back is that true? When you're -- that's transport.
Joseph Alvarado: Yes, that's a good way to look at it, Tim. We do have some exposure.
Operator: The next question comes from Brian Yu at Citi.
John Fenn - Citigroup Inc, Research Division: This is actually John Fenn phoning in for Brian Yu. The first question was just a point of a clarification. It sounded like the outlook for the 1Q operating loss was based on the closure costs, slightly more than offsetting profitability from the operations. Is that the right way to characterize it?
Barbara R. Smith: Yes. Before you take into consideration the tax benefit that we're expecting.
John Fenn - Citigroup Inc, Research Division: Okay. And then in terms of the Recycling business in -- for fiscal 2012, the year-on-year comparison excluding any sort of the impact of volatility on the scrap pricing side and the addition of the 2 shredders, what would be other things we should consider in terms of thinking about the year-on-year profitability comparison for the Recycling segment?
Joseph Alvarado: You mean specifically moving forward, correct? I'm not...
Barbara R. Smith: John, you're speaking about -- I think he's speaking about 2012, is there anything besides the 2 new shredders and...
Joseph Alvarado: No, probably the biggest consideration for 2012 is -- in 2011, we saw an unprecedented period of stability in scrap pricing. I mean, there are 9 -- about 8 or 9 month -- consecutive months of relatively stable within the $20 a ton range scrap pricing. That's pretty extraordinary. I wouldn't count on that for fiscal 2012 given the long history of scrap pricing. So I'd say that there's some risk to that and some vulnerability to earnings as a result of prices jumping up and down. We managed that as best we can, but we're reacting to the market. So that would be the one most significant different -- difference. But none of us are omniscient or know what the future holds in the way of price volatility but that would certainly be different in 2011.
Operator: Next question comes from Charles Bradford at Bradford Research.
Charles A. Bradford: There's a lot of talk in the trade about Chinese buyers of scrap and other things refusing to get the letters of credit necessary to receive the material, even for the stuff that's on the boat part way to China. And people are talking about some pretty large losses. Have you been hit by any of these in either scrap or iron ore?
Joseph Alvarado: On the scrap side, in particular, Chuck, we're not a big player internationally. We do script -- we do ship nonferrous more than we do ferrous. Of course when we do put a shipment together for ferrous, if it's non containerized, it could be a big a shipment. But those are rare and few for us. So we don't get that kind of exposure on scrap. But we do and can have some exposure on iron ore pricing. So it's a mixed answer for you. But in particular with China, and it isn't just China it could be anywhere that there are issues with some market exposure, but we're not seeing it specifically to China. I heard stories like that, Chuck, but...
Charles A. Bradford: Yes. The trade price is talking about some pretty big numbers and with iron ore down to $116 today, that's a big incentive to somebody to welsh on the contract.
Joseph Alvarado: And renegotiate, that's correct.
Operator: The next question comes from Dan Cascades [ph] at Morgan Stanley.
Unknown Analyst - : Given that both Moody's and S&P have you guys on negative watch to potentially go to high yield, I guess, first what are your thoughts and then, two, can you comment on kind of how your conversations with them are going?
Barbara R. Smith: Yes. We've had ongoing and consistent dialogue with both agencies, and I think the dialogue has been constructive. I think the biggest struggle for the agencies is the forward outlook and just the view by many that the recovery is extended. So of course, we've been bringing them up-to-date with all of our actions to restructure and adjust the cost basis and capacity to current demand. So that discussion is ongoing.
Operator: The next question comes from Mark Parr at KeyBanc.
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: I had a -- my operational questions have all been answered, so thank you for all the color. I did have just kind of one, one-off question. The Mesa operation, I mean, had a -- original budgeted amount of -- what was that about $130 million, is that right?
Joseph Alvarado: The originally approved budget?
Barbara R. Smith: For the investment?
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: Yes. I'm just trying to get a feel for what was the cost of actually constructing the operation.
Barbara R. Smith: Mark, I would have to go back and validate the precise number, all in with working capital. But I think it was something a little north of $200 million.
Joseph Alvarado: And Mark, I believe the original budget was more in the range of $140 million, $145 million. But we'll check that and get back. Okay?
Mark L. Parr - KeyBanc Capital Markets Inc., Research Division: I appreciate that. I guess -- and good luck on all the initiatives, you got -- looks like you got a lot of good stuff going on.
Operator: The next question comes from John Tumazos at John Tumazos Very Independent Research.
John C. Tumazos - Galway Resources Ltd.: Congratulations on all the decisions you're making and the progress you're making. The construction markets are very tough. And it's hard from a big picture from the outside to tell whether businesses performed badly because there's no construction or whether businesses performed badly because a mistake was made here and there. Could you sort of give us a big picture as to how much of the rationalization made over the last couple of years, Joist might shutdown today, et cetera, is being made because construction activity is de minimis? And how much is because the original strategy didn't seem to be well taken? Separate second question, it might turn out that a lot of the issues just started, construction activities is poor and government spending is going to continue to to be low and impacting infrastructure spending. Does the company have the resources to buy back a 10% block of stock if it turns out, for example, there were to be an overhang in the market?
Joseph Alvarado: Well, John, let me start with the -- your first question on the overall strategy. The company has its origins and strengths first in the Trading and Recycling business, and then having moved into manufacturing of mostly construction products, merchant and rebar. So it's long been a part of our portfolio and there have been a lot of good years. We enjoy the benefits of having the right assets in the right places to be successful serving the construction industry. But some of the decisions that we made more recently and going back to the Deck $& Joist decision, was because we saw weakness in the market for the long term. And the more recent decisions on a couple of facilities, both in construction services as well as fab business is because we don't see any change, any significant improvement in construction activity moving forward. We believe and have demonstrated that we can make money at these levels of operation, and I tried to point out that we haven't seen much variability in operating levels. We'd love to be operating at 90% and get the benefit of volume and covering our overhead cost, but at the same time, we don't see that that's going to happen anytime soon. So for that Deck & Joist and the Fab business, we've made adjustments based on where we see the market going, and right now we see it flat. In my comments I mentioned that right now, we see 2012 to be a mirror image of what's happening in 2011. And we could easily be wrong, but so far, based on order patterns and the order book and backlogs have no reason to suggest otherwise. However, I certainly wouldn't want to handicap what may or may not happen in election year in Washington and what impact there might be on construction spending or infrastructure to reduce unemployment. We'd like that there could be some stimulus, but even if that were to happen in 2012, it takes a long time to mobilize resources before we'd see the benefit of that downstream. That's why we -- we're trying to be realistic about 2012 and don't really expect a strong recovery in construction markets until 2013 kind of at the earliest. So I think I've answered your first question. And then I'll ask Barbara to answer the second question.
Barbara R. Smith: Yes, John, and we're constantly evaluating things such as a buyback program. Obviously, the company has undertaken that in the past. Our last program was concluded in 2010. And I would only say further that all of the actions that we've taken recently in trying to restructure the business were aimed at obviously, increasing the profitability, but also improving the balance sheet flexibility on a go-forward basis.
Operator: Next question comes from Wayne Atwell at Rodman & Renshaw.
R. Wayne Atwell - Rodman & Renshaw, LLC, Research Division: You've sort of answered this to some extent, but let me ask it again maybe a little differently. You obviously made some changes, I think, they make a lot of sense. It's a tough environment with what's going on in the economy you're probably not starting any new initiatives. But you've sort of decided what you don't want to be -- what do you want to be in the sense that where would your next initiative be. You'll probably sit on the sidelines here for a little while and dispose of the assets you decide to get rid of, but where is your next initiative be? Where should we expect you to see putting capital in the next couple of years?
Joseph Alvarado: Well, Wayne, let me answer that because, I guess, I'd start with saying that we demonstrated by the commitment to put in 2 new shredders in Tulsa and Corpus Christi that we believe strongly in the Recycling business. That will help us to strengthen our own recycling base for our own manufacturing and allows us to be a more significant player on a third-party basis. We also, as Barbara pointed out, have targeted some additional capital spending for this year above the levels that we've seen the last couple of years, really to support our operations and improve efficiencies and productivity. And then on the global -- so in North America, both our mill operations will benefit from that CapEx as does the Recycling. On a global basis, we expanded in distribution in Australia because it was a good move for us and we believe something that's substantial. And in Europe, we just recently put a lot of capital into our Polish facilities in Zawiercie. So we're about the business of growing our market share and expanding our participation in merchant and wire rod products that are more value added. So a big part of our focus moving forward is to harvest some of the investments that we've made over the last few years and continue to target specific opportunities that make good sense for us in Recycling or Manufacturing or Distribution.
Operator: The next question comes from Luke MacFarlane [ph] at Macquarie.
Unknown Analyst - : This is Elbom McFarrel [ph] at Macquarie. But in terms of my questions, I just had a couple of follow-ups on the Croatian thing. Can you say if you took the write-down in the impairment, I see, it's mostly noncash. And I'm wondering is that for taking the assets down to a level where you think you might be able to sell them or is that taking to a level where they are completely written off?
Barbara R. Smith: Well, as you probably know, we have to write them down to a fair market value. So there was an appraisal process that was conducted in order to arrive at that fair market value. And as Joe mentioned earlier, we are also in the process of marketing those assets. And -- So our hope and expectation would be that we can recover that fair market value through this process.
Unknown Analyst - : Now, the equipment you're marketing though, is that separable from the mill itself? Like, for example, furnaces or machinery or is it essentially you'll be marketing the mill?
Joseph Alvarado: Yes, there are some separable parts there, without a doubt. Although there's a coal finished tubing operation that we have, for example, that's been idle for the last several years. That is almost a stand-alone basis. The melt shop would be more difficult to relocate, but there are components of it that have market value that could be relocated. I would think more it would be logical to run the assets in place including the pipe mill and/or to round up the finishing capability in Croatia to expand the finishing to have it match more closely the steelmaking capability. The difference between our finishing and our melting capability in Croatia is significant, which puts us in the merchant in the semi-finished sales business without a vacuum the gas is still there. I can identify incremental things that might be done that would make that facility attractive to someone -- more attractive to someone else as it is to us.
Operator: The next question comes from Gregory Macosko at Lord, Abbett.
Gregory M. Macosko - Lord, Abbett & Co. LLC: On the conversation about Recycling I was going to pick up on that. And just tell me, in terms of those 2 shredders, is that something that was decided in the last -- well since you've been there, Joe, or was that something that was on schedule for a while?
Joseph Alvarado: We've been looking at our Recycling capability all along. We're always studying that. But the decision to move into the Shredding business in Tulsa was taken in March-April timeframe of this year. We have sizable collection capability in Tulsa. We didn't have a shredder there, and we have a need for shredded product. So one thing we did do is expand the size of the shredder from the original plant because of the amount of tons that we're processing up there. So it's a nice complement to our shredder in Dallas. In Corpus Christi, we had idled a shredder down there and had plans to reinstall a new shredder before the downturn. Those plans were suspended and what we've done is resurrected them and we're essentially installing a shredder that we purchased several years back.
Gregory M. Macosko - Lord, Abbett & Co. LLC: Would you know if it was never running before?
Joseph Alvarado: Well, we had a shredder down there, we're replacing it. We're going to replace it, we shutdown the old shredder and never started up the new one, and so we're starting up the new one in place of the old one in a market where we've been all along.
Operator: The next question comes from Sal Tharani at Goldman Sachs.
Sal Tharani - Goldman Sachs Group Inc., Research Division: I have 2 quick questions. First, Barbara, on LIFO, your predecessor has -- you have moved along from a yearly adjustment to a quarterly true-up. Are you going to continue with quarterly true-up with the way it was being done before?
Barbara R. Smith: I think we're going to stay consistent with what we've seen for the last couple of quarters with the quarterly LIFO adjustments if that's your question.
Sal Tharani - Goldman Sachs Group Inc., Research Division: Yes. Okay. And the other question, going back to Gregory's question about the shredder. When I look at this scrap industry, Joe, the one thing which keeps resurfacing again and again is that we have too many shredders in the U.S. and more are being put in. And I'm sure that you have added the process and looked at your market and done that but if you go back when your scrap price -- if I look at the model, scrap price was under $300 or between $250 to $350, used to make the same -- the company used to make the same with ton or operating profit per ton as when the scrap is at $800 gross when -- it may be the same or maybe you are less now. And I think it's not just CMC but across the industry and the biggest problem is that there is too many shredders seeking ways, limited pool of unprocessed scrap. Now I was just wondering that, how do you see the returns on these shredders if you look at the IRR or whatever the calculation you use when you are deploying this capital for those 2 shredders?
Joseph Alvarado: Well, let me talk about the more general question of shredder capability and availability of scrap. It varies from region to region. And I would say that there's some locales within the country that are heavily loaded with shredders that are all competing for limited availability of scrap. So I would assume that you'll hear a lot of human cry from those, that are in those regions. We feel a bit of that in the Eastern region not so much in the Central region, but the Central region is a little bit different for us. We have strong collecting capability and the justification of the Tulsa shredder, which was the only new shredder for us because the Corpus was a replacement better. That new shredder was already justified by our volume capability for collecting and processing. And it's a better way for us to ship scrap following the processing, it's a better scrap overall for own use or for external sales. So the hurdle rates that we targeted for these projects, we always target to exceed our cost of capital and it makes it easier when we already have a presence in the market, and know we have the collection capabilities. So each of our projects competes for capital in the same way that we compete for capital in the marketplace. So these are good projects for us.
Operator: This concludes the question-and-answer session. As that is all the time we have for today. I would like to turn the conference back over to Joe Alvarado for closing remarks.
Joseph Alvarado: Well, thank you all for your questions today, and thank you for joining us on the conference call. We'll see a lot of investors over the next couple of weeks and look forward to meeting with many of you in those meetings, both in group and one-on-one sessions. So thank you very much for your time and attention.
Operator: This concludes today's conference. Thank you for attending. You may now disconnect.